Operator: Good morning, ladies and gentlemen. Welcome to the Trican Well Service Second Quarter 2025 Earnings Conference Call and Webcast. As a reminder, the conference call is being recorded. I would now like to turn the meeting over to Brad Fedora, President and CEO of Trican Well Service Limited. Please go ahead, Mr. Fedora.
Bradley P. D. Fedora: Thank you, everyone. Good morning, and thanks for joining us. First, Scott will give an overview of the quarterly results, and then I'll provide some comments on the quarter and current operating conditions and the outlook in the near future, and then we'll go to questions. We'll try to be a little quicker on this call than we normally are just so we leave more time for questions. Several members of the team are with us today as well. So there shouldn't be a question that we can't answer. I'll now turn the call to Scott.
Scott E. Matson: Thanks, Brad. So before we begin, I'd like to remind everyone that this conference call may contain forward-looking statements and other information based on current expectations or results for the company. Certain material factors or assumptions that were applied in drawing conclusions or making projections are reflected in the forward-looking information section of our MD&A for Q2 of 2025. A number of business risks and uncertainties could cause actual results to differ materially from these forward-looking statements and our financial outlook. Please refer to our 2024 annual information form for the year ended December 31, 2024 for a more complete description of business risks and uncertainties facing Trican. This document is available both on our website and on SEDAR. During this call, we will refer to several common industry terms and use certain non-GAAP measures, which are more fully described in our Q4 2024 MD&A. Our quarterly results were released after close of market last night and are available both on SEDAR and our website. So with that, I'll provide a brief summary of our quarter. My comments will draw comparisons to the second quarter of last year, and I'll also make some comments about our quarterly activity and our expectations going forward. Trican's results for the quarter compared to last year's Q2 were slightly higher due to increased operating activity. Customers continue to level load their programs. And as a result, activity was reasonably strong throughout the quarter. On the cost side, we saw a bit of decrease on certain items like fuel costs to do the removal of some of the carbon taxes, and we were able to do a bit more of our own trucking this quarter, which helped our transportation costs. In general, our cost structure was generally stable through the quarter, although we did experience some cost creep in certain areas like cement costs, which went up predictably May 1. That resulted in revenue for the quarter of $213.8 million with adjusted EBITDA of $44.9 million or about 21% of revenue compared to adjusted EBITDA of $40.7 million or 19% of revenues that we generated in Q4 -- Q2 of 2024. Adjusted EBITDAS for the quarter came in at $47.3 million or 22% of revenues, up from the $45.2 million or 21% of revenues we generated in Q2 of last year. To arrive at EBITDAS, we add back the effects of cash settled share-based compensation expense recognized in the quarter to more clearly show the results of our operations and remove some of the financial noise associated with changes in our share price as we mark-to-market these items. On a consolidated basis, we generated positive earnings of $19.5 million during the quarter, which translates to $0.11 per share, both on a fully diluted and basic basis. Trican generated free cash flow of $24.4 million during the quarter. Our definition of free cash flow is essentially EBITDAS less nondiscretionary cash expenditures, which includes maintenance capital, interest, current taxes and cash settled stock-based comp. You can see more details on this in the non-GAAP measures section of our MD&A. CapEx for the quarter totaled $16.3 million, split between maintenance capital of about $14.3 million and upgrade capital of about $2 million. Our upgrade capital was mainly dedicated to the electrification of our fourth set of ancillary frac support equipment and ongoing investments to maintain the productive capability of our active gear. For 2025, our capital budget remains at $70.4 million, focused on a mixture of ongoing maintenance capital and targeted growth initiatives, including the fourth set of electric ancillary frac support equipment, investments in our logistics fleet and our support infrastructure. Balance sheet remains very solid. We exited the quarter with positive working capital of approximately $114.1 million, including cash of $36.3 million. And I would note that we had a significant unwind of working capital as we worked our way through the quarter that benefited our cash position. I would expect this will build back up to a more normal level as we move through a fairly busy Q3. With respect to our return of capital strategy, we repurchased and canceled 8 million shares under our NCIB program during the second quarter at a weighted average price of about $4 per share. We've repurchased and canceled 13.2 million shares to date under our 2024-2025 NCIB program, which represents about 69% of the total available program. As noted in our press release, following and pending closing of the acquisition of Iron Horse, the Board of Directors has approved a 10% increase to our quarterly base dividend. The increased quarterly dividend will be about $0.055 per share per quarter, up from $0.05 per share currently, which equates to $0.22 per share on an annual basis. The distribution is scheduled to be made on September 30, 2025 to shareholders of record as of the close of business on September 12, 2025. And I would note that the dividends are designated as eligible dividends for Canadian income tax purposes. So with that, I'll turn things back to Brad.
Bradley P. D. Fedora: Okay. Thanks. I'll just talk about the market in general, and I'll try to keep my comments a little more brief than usual so that I can see mostly analysts on the call. So I assume there'll be lots of questions. The Q2 went well, but it went as forecast. We did have some work push out of Q1 and into Q2, as we had mentioned on our last call. And so we had, I would say, sort of a better quarter than maybe we would have predicted earlier in the year. June, in particular, was really busy. I think the first 10 days of June were maybe our best revenue days since I've joined the company. So it's just more a testament of how our customers are level loading throughout the year. It's really helpful to the organization. You're not staffing for seasonal peaks anymore from a staffing perspective as well. Their incomes are more evenly distributed throughout the year, and it shows our turnover is below 5%. If you look at these types of businesses even 5 years ago, they would have been in the 20%, 30% turnover range. So really helpful to have our customers level load throughout all 4 quarters. There is a little bit of pricing pressure out there. I think margins are maybe a little bit lower than we would like them to be. And just with natural gas where it's at, and just a reminder in the last couple of years for the last 18 months, these gas prices have been the lowest they've ever been on an inflation-adjusted basis in Canada. And so it's -- we're actually very fortunate that it's as busy as it is. And -- but the good news is, I think there's only one way for gas prices to go. And now with LNG active or the facilities actually exporting gas now, I mean most analysts are predicting that gas will steadily climb from here and that next year looks really good. Most of our work is very gas focused. About 75% of our work is some type of gas play, whether it's dry or liquids-rich. And so we are very attuned to gas prices in our business. And the other -- the rig count is down slightly. And so we are -- like I said, we are seeing a little bit of pricing pressure. But I would say for the most part, that has sort of leveled out. I think everybody has settled into Q3 and Q4 now. And we actually have a surprising amount of visibility into Q4, which is not actually typical for this point in the summer. And it's funny for the first time in a long time, our customers are coming to us with next year's plans and wanting to talk about equipment availability, even like commodity pricing like on sand and chemicals and things like that. So that's a really good sign for next year. So I think pricing will settle out here in the second half. But we're expecting a good Q3 and maybe Q4, I don't think it is going to be as good as Q3 just as we go into the Christmas break. But we expect that we're going to have a pretty good second half, probably look a lot like last year. We're still very focused on the Montney, the Duvernay and the Deep Basin. Nothing's changed there, and I don't anticipate that will change. And I'll just say, I won't get into the particulars that I usually get into, but all 3 divisions, frac, coil and cement are all running really well. Coil, we've had some great improvements from a market share and sort of technical recognition by our customers given the lengths of the coil jobs that we're doing. But in general, all 3 divisions are running really well. We're really happy with how things are going. And I think the rest of this year will look very similar to last year. We're going to keep an eye on commodity prices. I think LNG Canada now is averaging about 0.5 B a day of export, and that will slowly ramp up to 2 Bcf a day early next year. And as that happens, we'll pull lots of gas out of the basin, and that will be a great help for natural gas prices. And the strip pricing is a lot better than the spot pricing. And so I think most of our customer base is sort of looking at the rest of this year as being sort of steady as she goes and then 2026, they're probably going to speed things up a little bit. On the tariff side, we did have the sand tariffs removed, which is a great help. Those are about $10 a tonne. Just on a 5,000-tonne well, that's $50,000. So any time we can lower our well, our completion costs for our customers, that's great news. And the tariff removal is retroactive. It goes back to March when it was put in. The other tariffs that we're looking at now are on the steel side. A lot of our parts come from the U.S. like fluid ends, power ends and the coil strings come out of the U.S. And with the steel tariffs and the reciprocal tariffs, the cost of those things are going up. And so we're a lot more active in trying to find better price alternatives from various places around the world. But all I can say is we'll keep an eye on it, and we'll do the best job we can to keep our costs low. On the sand logistics side, we continue to build that out. I think we're one of the -- we're really proud of our sort of last mile logistics capabilities. And I think our customer base recognizes that when you're pumping these amounts of sand, whether it's 5,000 tonnes or 10,000 tonnes, which equates to 50 to 100 railcars of sand, so it's incredible to think that all of that sand is getting pumped in sort of a 48-hour period almost, our ability to make sure that sand is showing up on location, whether it's a B train every 12 minutes for 36 straight hours or the ability to store it. But anyways, it's -- we're really proud of our capabilities there, and we'll continue to build that out, and it's turning into a profit center for the company as well. On the technology side, I think we're at the stage where we're sort of ready to pick the next generation of pumps. We did talk about -- in the past about reviewing the various technologies that were available for 100% natural gas. And so we're not approved yet or we haven't finalized the details, but I would assume by next -- by sort of this time next year, we will have a 100% natural gas frac spread operating in the field. And so look to future conference calls to us for us to provide more details on that. Long term, we still -- we think Western Canada is a great place to be, we believe, in the business, whether in Northwest Alberta, Northeast BC and even Central Alberta with the Duvernay and the Deep Basin, we think all of those areas are going to be very busy. We're proud of the relationships we formed with the First Nations, both in Alberta and BC, and we think that will be sort of a catalyst to more activities in our areas. When you look at the Montney now, it's considered arguably one of the best resources in North America, and it's in the second inning, depending on who you ask. So there's lots of runway there. I think Canadian companies now are being viewed with [ NV ] for the amount of sort of locations and undeveloped plays that remain. And again, LNG Canada is finally working. It wasn't that long ago that investors were still doubtful of whether or not that was ever going to happen. And here it is, it's up and running. It's having its usual start-up hiccups, as you would expect. But it's already basically 0.5 Bcf a day of export volume. So that's great news. Before I wrap up, I'll just talk about the Iron Horse acquisition. As everybody recalls, about a month or so ago, we put out a press release that we will be acquiring Iron Horse. We're very excited about this. We view this as the combination of the 2 best frac companies in Canada. We're going to work with each other to adopt best practices from both companies. It will operate as a separate division. And so we will not be rebranding it or anything like that. And so we've -- I think the Iron Horse customers and the Trican customers will still get great service. If anything, our service offering should improve with the acquisition as we adopt best practices, and we allocate equipment and completion designs in the most efficient way. We're working with the Competition Bureau through that approval process. That's -- I think it's going well. We hope to close sometime late this quarter or early next quarter, but we really -- we'll have to wait and see, but we're not expecting any issues there at all. So on the shareholder return side, we -- as Scott was saying, we still -- even in Q2, we're generating significant free cash flow. I think we had about $25 million or so of free cash flow in the quarter and that's typically our lowest quarter of the year. So we'll look for ways to get that money back to our shareholders if we don't have attractive organic growth opportunities. We -- as everybody knows, we -- our return of capital strategy is a combination of the dividends and the NCIB, and we expect to maintain both of those going forward. We're not afraid to use our bank lines when we find something attractive to invest in just like we did with Iron Horse. We are taking on a little bit of debt for the first time in a long time, and happy to do more of that if we find more really attractive acquisitions. Either way, we're always going to do what we think is best from a returns perspective, whether it's dividends, NCIBs, M&A or just organic equipment growth, and we'll just continue to evaluate all of those and pick our best on a risk-adjusted basis. Our corporate priorities, they remain unchanged. We want to build a resilient sustainable and differentiated company that's active in Canada. We want to continue to invest in high-quality growth opportunities, make good acquisitions when they're available to us. And all of this is to make sure that the service offering for our customer is best-in-class. Without the customers, obviously, we don't have the business. And so everything we do is designed around providing a better value-adding service offering for our customers, and we're very fortunate to have long-term customers. So I think that's going quite well. And through all of this, we'll provide a consistent return of capital to our shareholders through the dividend and the NCIB when it's appropriate. So operator, I think I'll stop there, and we can go to questions.
Operator: [Operator Instructions] Our first question is from Aaron MacNeil with TD Cowen.
Aaron MacNeil: Scott, you mentioned in the prepared remarks, obviously, margin performance was very good in the quarter. You referenced the carbon tax, internal trucking as areas where you saw the reduced costs. Can you expand on sort of the materiality of each of those items and give us a sense of what you think we should be applying on a go-forward basis?
Scott E. Matson: Yes. I probably won't go into the details of each of the lines, but those would have been the major contributors for the 1 or 2 or 3 points of margin that was a bit different year-over-year. So if you look at the run rate of just that percentage EBITDA at the bottom line, that probably stays as a fairly representative view as we go into the next few quarters, right? Q3 is probably a little better, Q4, depending on how active it is, moderates a little bit. But I think you just focus on the run rate piece and you'll probably be right on track, Aaron.
Aaron MacNeil: Do you think we should apply the year-over-year difference like in Q2 to Q3 as well. Is that what you're -- just to clarify, is that what you're saying?
Scott E. Matson: Yes. I think we'll continue to see a little bit of that margin benefit, right? I would expect it to be similar in Q3 and probably just come down a bit in Q4.
Aaron MacNeil: Got you. Okay. And then maybe, Brad, one for you. I assume it will be a retrofit and not a new build, but can you speak to the potential capital cost of a 100% natural gas frac spread and if you're looking to activate an incremental frac spread or displace an operating frac spread?
Bradley P. D. Fedora: Yes. Actually, it would be a new build, rough math, the 40-ish, we do have some -- we're not going to build everything. We have -- we're going to continue to build the electric ancillary equipment as well, and we'll combine that with the natural gas engines. But we haven't finalized any of this. None of this is Board approved yet. But yes, it would be an incremental spread as well. So it would be a new build and an incremental like [ spread 8 ] for us that we would hope to have if all goes well sort of this time next year.
Operator: The next question is from Keith MacKey with RBC Capital Markets.
Keith MacKey: I guess I have to follow up on the comments around the natural gas frac spread there, Brad, recognizing that it's not all approved and certainly early, but what are you seeing or what would you need to see in the market in order to activate that eighth frac spread if you did so?
Bradley P. D. Fedora: More activity, which I'm predicting we will have next year. I think with gas pricing firming up just due to LNG, I think there'll be an opportunity for us to put more equipment to work on a very targeted basis. These types of spreads, they're not deployable anywhere and everywhere, sort of like a Tier 4 would be because you do have to have the gas infrastructure to run them. So -- but like even today, at these activity levels, our Tier 4 equipment is basically sold out every day. So -- and what will happen with the Iron Horse acquisition, hopefully, will be that the diesel equipment that we currently have parked, which is our spare capacity would -- we would hope that the Iron Horse division could put that equipment to work because the parts of the basin that they operate in is more appropriate for just conventional equipment. They don't -- they're not on locations sort of long enough to justify running the natural gas engines. But -- so basically with the Iron Horse acquisition, we hope that we will lose all of our spare capacity to them.
Keith MacKey: Got it. Got it. Okay. And just speaking of Iron Horse, you teased it a little bit in your comments, Brad. But can you just speak to maybe some of the initial feedback from customers on the announcement and just in terms of what you're hearing from them and just kind of your response or proposition?
Bradley P. D. Fedora: Yes. I would say it's overwhelmingly positive. You got to remember, like the customers, they are consolidating. They want to know that they have service providers that are basically keeping up. You don't have sophisticated logistics and supply chain and safety programs and have the ability to continue to reinvest with equipment. And so they have -- we have expertise on the Trican side, they have expertise on the Iron Horse. We're going to mine all of that knowledge and that will allow us to provide better service to our customers. And so both our customers and the Iron Horse customers, I think, are all really positive on the deal. And they have infrastructure that we can use to expand things like cementing. They were trying to grow into the north, right? And so we already have all that infrastructure in place. So it makes a lot of sense and whether you're sort of a traditional Trican customer or an Iron Horse customer, your service offering should get better with this deal.
Operator: [Operator Instructions] Our next question is from Waqar Syed with ATB Capital Markets.
Waqar Mustafa Syed: Brad, obviously, you're pretty optimistic about pickup in activity with LNG Canada. But we also hear about like there's ample gas out there, obviously, gas storage when you look in Canada, that's a very high level. So do you really expect that from LNG Canada, there could be increased activity in the second half? Or do you think mostly it's sometimes of a late next year type phenomenon when you have your -- you may have your next crew out?
Bradley P. D. Fedora: Yes. I think it will be next year change. But I'm optimistic. I failed to see how you can take 2 Bcf a day of gas out of the basin and not have it affect pricing. And I think everybody underestimates how difficult it is to actually add a Bcf a day of production in Canada, right? There's an incredible amount of work goes into that. And it's -- flush production is one thing, but keeping that production a year after you've turned the well on is a whole another issue. So when you talk to the gas players in Calgary here, we all kind of chuckle that how easy people think it is to just to ramp this up, right? I mean we're all operating 24 hours a day, 365 days a year to try to grow production. And of course, we have. I mean, these wells are very prolific, thanks to the awesome fracking that we provide. But yes, I don't see how you're going to take 2 Bcf a day out of Canada and not have an increased price. And the other thing that all of our customers are doing too is their marketing programs are so diversified now that they're not tied to AECO like they used to be, right? And there's all sorts of points throughout North America and now -- and I expect that Canada will be -- will provide another good pricing point for their marketing plans. So I'm optimistic about next year, Waqar, like this year is probably steady as she goes, but I think people are too cynical on how long it takes gas prices to recover.
Waqar Mustafa Syed: My second question relates to this balance between rising underlying demand, but then offset by improving completion efficiencies so that overall demand for crews or horsepower doesn't change. Like we've seen in the U.S. side with simul-frac and simul-frac and all that, like the footage that is completed, may be increasing overall, but with the same crews or with the same or even less horsepower, industry is able to achieve more completion in a well footage completed per day. So how do you see -- is there structurally anything different in Canada that you wouldn't see those kind of efficiency improvements? Or it's just a matter of time that Canada catches up as well?
Bradley P. D. Fedora: I agree with what you said. I mean, I think people sort of forget how much wear and tear gets put on the equipment. And so you can work it really hard for a month, but there's going to be some shop time. And so over the course of the year, does it actually mean there's more equipment available? The answer is probably yes, but not as maybe as much as you might think. And of course, Canada will catch up. The only difference is the sand concentrations, they are a little bit higher here. And so simul-frac, it's easy to set up the equipment for that, but it's a whole another animal to get that much sand on to the location and keep up with this -- with the amount of sand being pumped like [indiscernible] so many of our operations are still remote, right? That just isn't that simple when you're -- we're not driving down the freeway to location, right, where a couple of hours on a gravel road is a lot different. So there's little differences like that, which you might not see exactly what you're imagining. But everybody, like including us, is always looking for a better way of doing things. And our ultimate goal is to reduce our customers' costs, right? The less these wells cost, the more they're going to drill. But their economics are they're very attractive. So we'll continue to look for efficiencies, certainly. And the fleet every year will do a little bit more than it was capable of doing last year. But it's not -- the gains are getting tougher and tougher and tougher to find here.
Operator: The next question is from John Gibson with BMO Capital Markets.
John Gibson: Congrats on a good quarter here. Just wondering if you could talk about pricing next year in Q2, expectations for the remainder of the year. And then say, we get some incremental demand into 2026, how much do you think they could potentially move up next year?
Bradley P. D. Fedora: I think I missed that. Did you say talk about pricing?
John Gibson: Yes, pricing dynamics now, maybe expectations for the back half of the year. And then if we do get incremental demand in 2026, is there a potential for them to move up a little bit more?
Bradley P. D. Fedora: Yes. We are a touch maybe unique in that. We have these long-term customers, so we have a bit of smoothing on pricing. So we don't -- they don't get the sort of jagged ups and downs of spot market changes because, as you know, the spot market has almost all been but eliminated here. I don't -- so I don't think you'll see any real pricing changes for the rest of this year. You'll see panic pricing in Q4, I'm guessing like we did last year. But I think the optimism about next year, I think, is going to grow even with the service companies. And so I do think we'll see higher prices in the industry next year, but I wouldn't even be able to guess what they'll be, and there's a million things that go into pricing. But I would say if our customers are listening that it's -- they're not -- little price changes can make big differences to our bottom line, but they're not making huge differences to the well cost. I'm not imagining anything drastic.
John Gibson: Fair enough. Last one for me. I'm just wondering, and you may have touched on this, wondering if wet weather impacted operations in July at all, either for you or Iron Horse? And if so, could you see some movement here into maybe late Q3 or Q4?
Bradley P. D. Fedora: Yes. I won't comment on our Iron Horse's activity until the transaction closes, but it didn't hurt us. It's not nearly as wet up north as it is here. So they didn't get all this rain that we got. So we're not feeling it so far. You never know what comes, but -- so like the July has been good. August looks good. September looks good. October looks good. And if you get wet weather, work just gets moved around, it's not the end of the world. It goes from one quarter into the next. So it's not a big deal.
Operator: The next question is from John Daniel with Daniel Energy Partners.
John Matthew Daniel: In your prepared remarks, you made a statement about customers starting to reach out to you on 2026. I'm just curious, those that are reaching out to you, are they asking for the same? Are they asking for more? And how -- what percent of them are actually giving you some color on that?
Bradley P. D. Fedora: They're basically asking for more of the same equipment. And they're always interested to know what we're doing from a natural gas versus diesel perspective, just given the fuel savings are so significant. But from a percentage basis, it's low at this stage. I think it will speed up, but it's no secret like some of our customers are -- they're very thoughtful about sort of planning 24 months out. And so they would stand out for sure on sort of getting ahead of this.
John Matthew Daniel: Okay. And if memory serves correctly, you guys are one of the first adopters of Tier 4 dual fuel up there. I'm curious, if you look at that first fleet that you built back in the day, when does that come due for it's first major overhaul, if you will? And when that...
Bradley P. D. Fedora: Good question because [indiscernible] a lot of hours on it. I'm looking at Todd Thue here.
Todd G. Thue: Probably in the next 18 to 24 months for the cost. Yes, we hold that into our maintenance cap and upgrade piece [indiscernible]
Bradley P. D. Fedora: So that's 6 hard years basically on that equipment. Yes.
John Matthew Daniel: And I mean, I think your colleague mentioned might be 18 to 24 months, and -- so clearly, no decision has been made, but your gut would be in 18 to 24 months when that comes due. Do you just replace it with 100% natural gas powered equipment? Or do you go through the rebuild?
Bradley P. D. Fedora: No, I bet you we will have sort of 2 or, I guess, 3 sets of equipment, and we'll have the 100% natural gas. That will get used on the longer-term pads where they can justify setting up the gas infrastructure and getting the gas to the quality standards that this kind of equipment needs, which is not easily done. Harder to do in Canada than it is in the U.S., just given the liquids content and stuff like that. But -- and then you'll have the Tier 4 equipment. I mean the Tier 4 equipment is great. It allows you to run you combine Tier 4 equipment with the electric ancillary stuff like the blender and things, and you're up to sort of 80%-ish. But you have that -- you always have the option to go to diesel if you have any issues, right? And so you sort of get there. And so it's -- there's a lot of customers like, yes, that's kind of good enough because if we have gas flow interruptions like we have to shut the frac down, right? So -- and then the third step will just be good old-fashioned diesel pumps that will get used in places where you're on and off location quickly and you're not necessarily using large amounts of fuel. So I think we'll have -- I think we'll always -- I think we'll have those 3 classes of equipment for a while yet.
Operator: This concludes the question-and-answer session. I'd like to turn the conference back over to Mr. Fedora for any closing remarks.
Bradley P. D. Fedora: Thanks, everyone. Appreciate your time and interest. If there's any more questions, please let us know, we should be easy to find for the rest of the week. Thanks, everyone.
Operator: This brings to a close of today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.